Operator: Ladies and gentlemen, thank you for standing by. At this time, all participants are in listen only mode. Call. Later we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Erik Bylin. Please go ahead.
Erik Bylin : Thank you. Welcome to ESS's first quarter of fiscal year 2025 financial results conference call. Joining me on the call today from ESS are Kelly Goodman, Interim CEO and Tony Rabb, CFO. Following management's prepared remarks, we will hold a Q&A session. Earlier today, ESS released financial results for the first quarter of 2025. The earnings release is available in the Investor Relations section of the company's website. As a reminder, the information presented today will include forward-looking statements, including, without limitation, statements about our growth prospects, partnerships, financial performance, capital raising, and strategy for 2025 and beyond. The forward-looking statements are also subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied during this call. In particular, those described in our risk factors set forth in more detail in our most recent periodic filings filed with the Securities and Exchange Commission, as well as the current uncertainty and unpredictability in our business, challenges with raising capital, issues with our partnerships, the markets, the economy and the current geopolitical situation. You should not rely on our forward looking statements as predictions of future events. All forward-looking statements that we make on this call today are based on assumptions and beliefs as of the date hereof, and we disclaim any obligation to update any forward-looking statements except as required by law. During the call, we will also present certain financial metrics on a non-GAAP basis. Management believes that non-GAAP financial measures, taken in conjunction with U.S. GAAP financial measures, provide useful information for both management and investors by excluding certain items that are not indicative of our core operating results. Management uses certain non-GAAP measures internally to understand, manage and evaluate our business and make operating decisions. Reconciliations between U.S. GAAP and non-GAAP results are presented within our earnings release. With that, I'll turn the call over to Kelly.
Kelly Goodman : Thank you, Eric, and thank you, everyone, for joining the call. I am pleased to be here again to report our first quarter results for 2025. As we noted on our last call, we continue to work diligently to manage liquidity in the near term, support capital raising measures and give us time to implement our turnaround and current strategy. Our focus this quarter was execution of the energy based launch and gaining commercial momentum, which I will talk about momentarily. Our first quarter revenue is tied to final deliveries of our battery systems to our Florida utility customer and came in at $600,000 with roughly 65% tied to equipment and 35% tied to site preparation. Additional project revenues are anticipated to be realized as the project is installed and commissioned through the course of this year. We expect that revenue will maintain these levels in the first half of the year and ramp in the back half based on energy based sales, although we are certainly exploring near term revenue opportunities. The results reflect in part our pivot from the Energy Warehouse and Energy Center products to implement a more focused business strategy related to the energy based product and address longer duration storage opportunities at 10 plus hours. This strategic shift is already yielding results. Within just three months of launching the energy based product, we secured early momentum. We were notified in late April that ESS beat more than 10 shortlisted competitors in a non-lithium RFP initiated by an Arizona public power utility that serves 2 million people and services a significant load from hyperscale leaders. Contracting and approvals for the 50 megawatt hour, five megawatt pilot project are anticipated to conclude by September. We expect there will be a significant follow on RFP opportunity for this customer, and our proposal included indicative pricing for a two gigawatt hour, 200 megawatt follow on project. This opportunity is representative of the significant emerging demand for non-lithium ion longer duration storage technologies. We believe that our ability to deliver 10 plus hours of storage, offer competitive pricing, perform in a wide range of temperatures and bring broad field experience with our core technology, scaled to gigawatt capacity in the energy base were important factors in securing this opportunity. In addition, the project offtaker is confirmed, and we are in further discussions for two additional projects. The project will be structured as a power purchase agreement, allowing us to deploy capital and raise financing at the project level. Project level capital and monthly payment structures like PPAs or tolling agreements also have been new opportunities for ESS to maintain some level of ownership in project companies and receive revenue ratably that will help to smooth our revenue projections and provide a revenue baseline to the extent these projects close and become operational. Separate from this particular project, proposal activity has increased substantially on the back of the energy base launch, totaling approximately 1.2 gigawatt hours and 400 million in the last two quarters, with over 70% representing the energy base. Our Portland General Energy Center systems are continuing grid operation and running daily cycling, having transacted another 158 megawatt hours. In addition, we are taking steps to leverage the grid infrastructure that was installed to support the PGE project to connect additional ESS systems and deploy a Wilsonville Energy Hub right here in our backyard. These batteries are demonstrating commercial applications and daily cycling. We plan to deploy our first extended duration stacks in an on-site system to demonstrate a twelve hour duration during the second quarter. This effort is a key step in demonstrating the technology at longer durations of up to 23 hours. Operating multiple systems on-site that all utilize our core technology will allow us to continue to understand product deployment and field activity firsthand and optimize a hands on operational approach to better implement learnings and usability for our customers. We continue to work closely in our partnership with Honeywell across a number of fronts, including related to the energy based product as discussed on our last call, based on Honeywell's expertise and process design and procurement position related to core elements like tanks, pumps and control systems. Our first four projects under our joint development agreement are complete or near completion, and the next round is already in flight or will be executed during the second quarter. There have been significant changes in the last several weeks related to tariffs, but as noted on our last call, we are proud that we have made our batteries here in The United States since day one. All of our manufacturing is conducted in our Wilsonville facility, and we do not import foreign cells for U.S. assembly. We have an extremely high degree of American made inputs from our supply chain, with over 98% of the components in our bill of materials sourced domestically. The cost for Chinese lithium batteries have recently come down, but the tariff landscape remains both significant and volatile. The 90 day agreement between the U.S. And China that was announced last weekend and came into effect yesterday still imposes over 40% cumulative tariffs on Chinese stationary lithium ion batteries in the near term and over 50% tariffs in 2026 if a broader trade agreement isn't reached before the Section three zero one tariffs on Chinese stationary lithium ion batteries are scheduled to increase from 7.5% to 25%. We also continue to see positive legislative tailwinds for domestic battery manufacturing, including for long duration energy storage manufacturers. On April 8, Senator Bill Cassidy introduced the Foreign Pollution Fee Act, which will levy tiered and escalating tariffs on selected imported goods, including battery components, based on their carbon emissions, with the intention to boost U.S. manufacturing competitiveness and low carbon goods and raise tax revenue. Based on the FDFA's variable charge by sector and country of origin formula, battery inputs from China will face an additional 200 levy if the bill becomes law. On March 10, the decoupling from Foreign Adversarial Battery Dependents Act passed the House of Representatives. This bill would prohibit the Department of Homeland Security from purchasing batteries produced by CATL, BYD, Envision Energy, EVE Energy, Gotion High-tech, and Hytheon. On Monday, the House Ways and Means Committee released its bill as part of the budget reconciliation process. While many in the industry were concerned that the Section 45X Advanced Manufacturing Production Tax Credit would be rescinded, the Ways and Means Committee proposed adjustments to 45X as foreign entity of concern provisions that strengthen a company like ESS's ability to claim the credit between now and 2031. There is broad bipartisan support for the Section 45X credit as a vehicle to scale domestic manufacturing of energy technology and reduce dependence on Chinese technology and supply chains for domestic energy projects. In short, these multiple pending legislative efforts indicate strong continued support for domestic manufacturing, and we continue to believe that ESS and its technology are well positioned to support the administration's mission to reestablish American energy dominance at home and abroad. All of that said, while our team has made significant progress over a very short period, we have not completed our capital raise. And the current capital markets environment is challenging against the current uncertain macro political landscape. We are aggressively pursuing all available options to extend our runway and maximize the value of what we believe is a critical technology in the broader energy landscape. With that, I'll pass it on to Tony to review the financials and our outlook.
Tony Rabb : Thanks, Kelly. Unless otherwise noted, all numbers we discuss today will be on a non-GAAP basis. You'll find the reconciliation of GAAP to the non-GAAP financial measures in our earnings release, which is posted on our Investor Relations website. We reported GAAP revenue of $600,000 in the first quarter with the associated GAAP cost of revenue at $8.7 million. This reflected the remaining two energy center deliveries in Q1 to a Florida Utility following the six energy centers we delivered in Q4 for a total of eight energy centers delivered. As Kelly mentioned, these energy centers will be installed and commissioned later this year as ESS completes all of the project site EPC activity. I'll note again that our cost of revenue associated with these reflect the numerous product cost out initiatives we have realized across both of our current products that will also flow into the energy base. We will continue to control our spends to minimize our cash burn. We are encouraged by the interest in our energy based product. As Kelly noted, and that's reflected in our inquiry responses and proposal activity. And we anticipate realizing revenue from our recent EB award once fully contracted and from other EV projects in 2026 and beyond. From a cash perspective, we receive a portion of customer payments upon contracting, which we expect to help provide cash inflows to support material purchases and offset other costs and working capital while we continue to ramp up energy base deal activity. As we have noted, our colleagues in the first quarter 2025 still reflects an LC and RV adjustment that continues to impact our results. This adjustment will continue to impact us at our current lower volumes as well, while we are purchasing materials and producing products for sale in future course. Our non-GAAP operating expenses for Q1 were $9.4 million and our R&D spend of $2.3 million reflects our investment in our cost out initiatives as well as the technology and product development improvements and performance, reliability and durability of the energy center as well as the energy based product. As a result of our Q1 activity, we reported adjusted EBITDA of negative $15 million. We continue to expect this loss to narrow as units produced in 2025 and beyond will be non-GAAP gross margin positive and based on the expected ramp of our energy based production and sales in 2026 and beyond, we believe we have a path to transition to EBITDA and cash flow positive in the next few years. As we mentioned last quarter, we have crossed over to non-GAAP gross margin breakeven on our energy center. And we continue to make good progress on further reducing costs, improving performance, reliability and durability in all of our ongoing initiatives and efforts. Due to the response we are seeing for energy based product, we are actively reallocating our engineering supply chain and product management resources to accelerate our progress on the energy based cost out, performance and durability initiatives. These initiatives will further re the energy base for field deployment, while also delivering a product with a lower cost per megawatt hour, allowing us to both increase unit profitability, while also delivering a more cost competitive product to the market. The years of significant cost reduction in our energy warehouse and energy center are being leveraged into further capitalizing on our fundamental cost entitlement advantage, a product that delivers energy from iron, salt and water to compete head to head with lithium ion in the coming years. We're actively bidding projects to be delivered starting in ‘27 and ‘28 and beyond, where pricing expectations are trending towards 200 kilowatt hours or less on a fully installed cost basis. Our current projected long term cost reductions and technology roadmap for the energy base can deliver a product that is on par or can be lithium ion and other long duration energy storage technologies available. Couple that with safety and reliability of our core technology, and you can see why we were awarded the 50 megawatt hour PPA project in Arizona. Turning to cash flow and liquidity, we ended the first quarter with $12.8 million in cash and short term investments. Our cash burn rates in the first quarter reduced from the fourth quarter due to lower production rates, lower material purchases and proactive measures we took to reduce spend and more efficiently allocate resources across the organization. Based on the progress we made on our cost add initiatives through the designs as of March 31, 2025, we'll see the benefit of those lower cost add materials purchased for production in 2025, while we are ensuring we're allocating our resources to initiatives that will generate the greatest returns. In addition, we monetized $1.9 million of our 2024 production tax credits in Q1 2025. We are also aggressively continuing to work to prioritize allocation of capital across internal resources and third party services, closely managing spend on value added relative to cash burn. We anticipate that our lower bill of materials, actions taken to reduce spend and reallocation of resources will further reduce our burn rate in the coming quarters. As Kelly mentioned, we're continuing with our capital raise process to bolster our balance sheet with the funding required to continue to execute on our business plans and growth objectives. However, we have not yet concluded on that process. While the variability and uncertainty surrounding tariffs and the Inflation Reduction Act will have nominal impact on ESS, there are clearly implications to capital markets that are impacting our fundraising activities. We're still exploring a number of near term interim financing solutions that could also allow us to extend our timeline to achieve our broader capital raise objectives. I'll now address the going concern disclosure we included in our 10-Q. As both Kelly and I noted, we are working towards the optimal path to clearing this analysis, and we're focused on extending our cash runway through securing new capital, aggressively managing and reducing our spend, and very actively reducing our cash consumption. I reiterate again that we're constantly evaluating a variety of strategic financing alternatives, both dilutive and non-dilutive to choose the best possible means to strengthen our balance sheet and extend our cash runway to enable ESS to continue operating through 2025. And with that, I'll open it up for questions.
Operator: [Operator Instructions] Our first question is from Justin Clare with ROTH Capital Partners. Your line is now open.
Justin Clare: Hi, good afternoon. Thanks for taking the questions here. First, I wanted to just ask about the outlook to make sure I heard correctly. It sounds like Q2 sales might be similar to Q1 and then you could see a ramp in the second half. So I wanted to just check-in, make sure I heard that correctly. And then just wanted to see is the second half ramp contingent upon a successful capital raise? Do we need to see that first before you could kind of unlock the production at your facilities and ramp sales up?
Tony Rabb : Yeah. Thanks for the question, Justin. Yeah, that's accurate, Justin. We do continue to moderate our spend in production until we can access the additional capital to support ramping production and orders.
Justin Clare: Okay. Got it. And then just wondering if you could speak to how long your cash runway might be here? How many quarters of operations can you support at the current burn rate? And then also considering the other levers that you might have at your disposal to extend that cash runway? I think you did mention some intermediate steps that you might take here. If you could just share a little bit more about how you're thinking about it that would be great.
Tony Rabb : Yeah, sure, Justin. I mean, I think if you look at the last several quarters of cash burn, that's an indicator for you in terms of what our cash burn rates typically have been. Our go forward cash burn will be lower than what we've seen in the past couple of quarters because a big part of what we went through in the fourth quarter and part of the first quarter was tied to the Florida utility project and the energy centers. And right now, we're not producing significant volumes of product. So I think if you look at it from that standpoint and our cash balance at the end of the quarter, I think you can gauge in terms of where that runway would get us to. And then in terms of interim things that we're working on, we did launch our ATM at the end of the first quarter. And we'll go to market with that at the appropriate time. And then there's other interim capital available to us that we also will evaluate to draw on at the appropriate time. Like the Exim loan that we have in place, and then there's a few other things that we've been exploring as well. But, obviously, critical for us to access additional capital to extend that runway.
Justin Clare: Got it. Okay. Makes sense. And then I did want to ask about the energy based product here that you guys have launched. And was wondering with the RFP in Arizona and the award that you won, could you share a little bit more about the requirements of that RFP? I mean, I think it had to be non-lithium. Was there a particular duration requirements or other requirements that maybe you are uniquely suited to provide?
Kelly Goodman : Yeah, this is Kelly. I'm happy to answer that one. It was non-lithium, as you noted. I think this utility is really looking at seeking additional and incremental technologies to support their needs. There wasn't any particular duration, but I think the ability of the energy base to deliver at the 10 plus requirement is one of the things that helped us get over the edge. The other thing that is unique for our technology is the ability to operate in various temperatures. So, Arizona, you have both the extreme heat in the summer, but I think people don't realize it gets fairly cold at night as well. So we were able to accommodate that broad temperature range. And then, we were competitive on cost in this case. And then I think, lastly, the operational experience that we have in the field, I think really proved invaluable in pitching our overall solution and we were very pleased with the result.
Operator: Our next question is from Thomas Boys with TD Cowen. Your line is now open.
Thomas Boys : Thanks for taking the questions. Maybe the first one since we were speaking on the kind of the cash position. For customers that move forward for maybe booked order, like what is deposit ranges of percentage that you get split down in kind of the early innings of a project?
Tony Rabb : The ranges that we've seen historically are anywhere from 5% up to about 20%. And as we move forward on future contracts, our expectation is that we'll be looking to push that to the higher end of that range and have additional interim milestones to ensure that from a working capital perspective, we'll be at least cash neutral.
Thomas Boys : That's helpful. And then just thinking through kind of forward demand for the energy base. Are there opportunities with customers that you've identified maybe that are not ready to move forward just because of the current manufacturing capability where a second facility or additional capacity would unlock that where a lot of customers don't want to be say 50% of your overall capabilities. I'm just wondering how you think about what you're seeing?
Kelly Goodman : Yeah, I guess, no, we're not seeing that. In general, in this sort of cuts both ways, we've had contracts with customers, SoftBank Energy [ph], Honeywell among them that tend to have pretty significant order volumes. So we're happy and we haven't heard concerns from customers about being at the level of scaling. One of the things that's relatively straightforward for us to do too is we have pretty significant additional manufacturing capacity at our facility in the sense of being able to deploy additional lines. Additional lines are relatively inexpensive from a CapEx perspective and also pretty quick to deploy. So we have the ability to extend manufacturing capacity and diversify, but we haven't heard from customers concerned about being sort of more robust as far as our manufacturing capacity at the moment.
Thomas Boys : Understood. I think if just squeeze in one more. Just wanted to get maybe you had mentioned this, I missed it, but was there a status update on any of the delays associated with the customer in Australia? I wasn't sure where we were there.
Kelly Goodman : Yeah. No, I didn't. Good question. So our understanding is that the government funding for that project still has not come through. So we don't have any further update or visibility on timing for that project at this time.
Thomas Boys : Excellent. I'll hop back in queue. Thanks again.
Operator: Our next question is from Ben Kallo with Baird. Your line is now open.
Ben Kallo: Hey guys. Thanks for taking the question. Just on sources of cash, can you talk about any discussions with strategic partners, Honeywell in the past and SoftBank [ph] in the past as well, but you've had those or how do you think that could be an option?
Tony Rabb : Yes. We are having a lot of ongoing discussions across multiple fronts with Honeywell and other existing investors. And we continue to have that dialogue and they continue to be productive conversations. So, I think that's ongoing for us and we'll continue to work with our existing investors as well as having multiple conversations with other parties around our strategic capital raise.
Kelly Goodman : This is Kelly. One thing I would just add to is, I think we're fortunate to benefit from really strong relationships with our existing investors who have stayed in. I don't know if it's well known, but we don't have an investor that has sold a single share that's currently on the cap table, but it also raises a bit of a challenge and that our cap table is comprised significantly of those investors, which at times can impact our volumes. So to the extent we can bring in additional investors and round that out, that's certainly something of interest and part of the discussions that we've been having.
Ben Kallo: And just a follow-up, just because of the tariffs and uncertainty with IRA that you guys called out, have you seen that change your inquiry level from prospective customers? Just being like as an alternative to lithium ion battery?
Kelly Goodman : Yes. I would say to the positive, I think there's two things happening. I think there's the tariff impact and uncertainty around the availability of imported batteries. I think the other thing is the significant drive in electrification growth that people are seeing. There's really kind of a space for all. So I think between hyperscalers and then parties looking to lithium ion alternatives either in the near term or the short term that sorry, near term or long term that has definitely driven inquiries in recent weeks.
Operator: There are no more questions. So that concludes the conference call. Thank you for your participation. Enjoy the rest of your day.